Operator: Greetings, and welcome to the EPAM Systems First Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Ms. Lilya Chernova, IR Coordinator. Thank you, ma'am. You may begin.
Lilya Chernova: Thank you, and good morning, everyone. By now, you should have received your copy of the earnings release for the company's first quarter 2015 results. If you have not, a copy is available on our website at epam.com. The speakers on today's call are Arkadiy Dobkin, CEO and President; and Anthony Conte, Chief Financial Officer. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. Arkadiy?
Arkadiy Dobkin: Thank you, Lilya and good morning, everyone. Thanks for joining us today. I am pleased to report that while the first quarter showed some continuum challenges, primarily with the currency volatility in several of our markets. It proved to be another strong quarter for EPAM and a solid start to the year. We closed with revenue of US$200 million, above consensus and top end of the guidance, and 25% growth over prior year. It was down sequentially about 1% which is relatively common for first quarter as we deal this quarter this in January and short billion months in February and sometimes slow start to customer budget allocations. Margins also closed strongly, with 16.7% adjusted operating margin, 30 basis point above last year. Taken in account the foreign exchange and currency volatility remains a big part of our story in Q1, I would like to state right up front that our revenue in Q1 2015 based approximately a 9% headwind when compared to Q1 2014, meaning our constant growth was about 34%. At the same time the impact of adjusted operating margin show that we remain naturally relatively hedged with a total impact from constant currency being less than 1 million tailwind or less than 3% impact on adjusted income from operation. With that note, I will let Anthony dive deeper into numbers and the currency impact explanation. I will be able to brief today with my updates on the business. Partially because we already described our approach and our differentiation points in regards to EPAM move into digital engagement space. We talked about that in many details during our calls last year. And partially because Q1 is still just beginning of the year and it's too early to evaluate any new trends in our activities in comparison with what we did during our previous call when we talked about 2014 results and our overall plans for 2015. So the first quarter for us was a continuation of the gross strategy we've began several years back as a part of EPAM 2015 region. And while we continue to face many of the same challenges still today we are also starting to see dividends on our decisions to focus on the system of engagement space and in many investments we did during the last period. As always we continue to focus on global competencies in co-engineering and advanced technology and on big data and analytics and other drivers of digital engagements. And all that while having a very focused approach to regional and local team building. We believe very much that closely align hybrid capabilities is a key component in our ability to deliver quality solutions which drive in the system for engagement and allowing our clients to stay competitive. That is why our major continuous effort today are to push harder to the highest level of engagement between the new strategy capabilities which we're developing organically and non-organically during the last several years. And even more importantly into very strong environment results additional strengths, high quality software engineering and advanced technology services. For us understanding that EPAM is about building hybrid teams of strategies experienced designers architects developers and business consultants means that we are working very hard to building this team not just in general but very much where they need to be present and to connect this client better for certain programs. So while we expand in the presence for such teams in our traditional markets in North America and Europe, we're also very focused to improve such capabilities in APAC region where we started to operate during last year and to have already for strong traction and now we want to expand in new fast locations including the most recent one in Guadalajara, Mexico. In addition to that, we are continuing to invest in developing capabilities in our key focused industries. We believe that EPAM will ultimately successful precisely because we understand the technology platform exist in the context of specific industry needs and we also know that many of the industries are going through massive disruption and shifts due to technology changes. We are excited to see the examples of how we're increasingly able to help bridge the business with technology and life science and financial services companies. I wanted to say just a few words about our still new capabilities and digital strategy and service design and how those fit into our broader positioning. We do believe that combining those increase very strong product development mindset which we develop over the years should become the true driver for us and not just in digital engagement but also in helping to address the full scope of some of the transformational programs by helping clients to find very new solutions to connect digital and physical world together and make total customer experience, more natural and transparent for simply intuitive if you will [ph]. Such type of opportunities we now see on the market more and more and we are starting to play a role in those very exciting new engagements. We hope to share some interesting stories on these subjects in near future. Finally as in the past 2014 we continue to educate the market about our progress in all directions. Further it included us as a strong performer in B2B commerce wave and in terms - capability wave. We also have seen increased clarity from analyst including Gartner and Everest in our traditional industry chapters, and are starting to recover it in new - life science and healthcare. With that I will turn to Anthony to give more structural information and to provide our guidance for this 2015.
Anthony Conte: Thank you Ark. Good morning everyone. I'll spend a few minutes taking you through the first quarter results then I'll talk more about our outlook for Q2 and the full year. As usual you can find the full details of our results in our press release and our quarterly factsheet located in the investor section of our website. As Ark mentioned 2015 opened with another solid quarter of revenue just over 200 million and 24.7% over the last year. Currency headwinds remained compressing our Q1 revenue by about 9% meaning in constant currency terms we would have grown 33.7% over Q1 2014. The final reported results came in above guidance and consensus by about 1%. Sequentially, we were down about 1% from Q4 which is not uncommon for the first quarter. However in constant currency terms we would have grown about 1.4%. The key currency mix of our revenue in Q1 has remained pretty consistent with what I shared at year end, 16% of our revenues remain US dollar based, the Pound is at 13%, Euros at 7% Canadian and Swiss francs are in 6% and the Ruble has dropped to 3%. North America remains our largest segment, representing 52.3% of our Q1 revenues, up 32.3% year-over-year. Europe was up 18.1% year-over-year representing 39.7% in Q1 revenue. In constant currency terms EU would have been up 30% year-over-year. CIS continues to struggle and is down 26.9% year-over-year, and 36.4% sequentially, representing only 4.4% of revenue in Q1. The dynamics of the drop is both currency and volume related and in constant currency terms CIS would have been up 13% year-over-year but still down 28% sequentially. Our top 20 accounts came in at 57.6% of revenue growing 24%, while all other clients grew 27% year-over-year. The increased concentration of the top 20 is mainly driven by continued strength in UBS account which grew 54% year-over-year and 12% sequentially to represent 15.4% of revenue in Q1. Turning to our expenses. We completed the quarter with over 12,600 IT professionals, an increase of about 29.8% compared to Q1 2014. Approximately 8% of this growth was from acquisitions, bringing the organic headcount growth to about 22%. Currency generated some benefits to the cost of revenue in the quarter, when compared to prior year. There was approximately 12% benefit and 3% versus prior quarter. The allocation of our currencies across expense based also remains fairly consistent with the guidance I provided roughly 63% of the U.S. dollar, 7% from Ruble-based; 8% in the Hungarian forint; and 5% in the British pound. The balance are insignificant. Utilization for the quarter was at 77.6%, essentially flat to Q4. GAAP income from operations increased 4.4% year-over-year to represent 11.4% of revenue in the quarter. GAAP IFL include stock-based compensation expenses, and certain acquisition-related costs that we exclude from our non-GAAP measures. Stock-based compensation expense for the first quarter increased 185% over prior year, 50% of the total Q1 charge and 62% of this increase is related to acquisitions. If you exclude acquisitions, stock comp is up 92%, however total outstanding non-acquisition related equity grants are up only 16%. So the main driver behind the growth in the stock comp expense is the fact that our stock price is up over 90% this year. Our non-GAAP income from operations for the quarter after all these adjustments increased 27% over prior year to 33.4 million representing 16.7% of revenue. For the quarter, we generated $0.61 of non-GAAP EPS, above the top end of our guidance and $0.29 of GAAP EPS based on approximately 51 million shares diluted outstanding. The GAAP EPS shortfall is primarily caused by two main issues. First, non-operating foreign currency losses exceeded our estimate by about $4 million, resulting in about $0.08 negative impact on GAAP EPS. Many of our entities hold assets and liabilities and currencies different from the local currency. Each period is measured and the unrealized gain loss goes to our P&L. The strength of the US dollar versus EU currencies mainly the Euro at the end of Q1 created this loss. The second issue impacting GAAP EPS is driven by a significant increase in our share price in Q1 which caused a larger than expected mark-to-market charge related to stock issued in connection with acquisitions, resulting in approximately $0.02 impact on GAAP EPS. Together this resulted in a $0.10 negative impact on GAAP EPS. Our balance sheet remained strong. We finished the quarter with approximately $222 million of cash, up 2 million from December 31st. During the first quarter, operating activities generated approximately 6 million of cash. Unbilled revenues were at 88 million as of March 31st. Accounts receivable were at $105 million and DSO ended the quarter at approximately 50 days. Turning to our guidance. Based on current conditions, we reaffirm our guidance for the full year. We expect year-over-year revenue growth to be 21% to 23%. Non-GAAP net income growth for 2015 is expected to be in the range of 20% to 22%, with an effective tax rate of approximately 20%. For the second quarter of 2015 EPAM expects revenues between $213 million and $215 million, representing a growth rate of 22% to 23% over the second quarter of 2014. Second quarter 2015 non-GAAP diluted EPS is expected to be in a range of $0.62 to $0.64 based on an estimated second quarter 2015 weighted average share count of 51.2 million shares. GAAP diluted EPS is expected to be in the range of $0.30 to $0.32. With that, I would now like to turn the call back over to the operator and open up for Q&A. Operator?
Operator: Thank you. At this time we will be conducting the question-and-answer session. [Operator Instructions] Our first question is coming from the line of Ashwin Shirvaikar with Citi. Please proceed with your question.
Ashwin Shirvaikar: Thank you. Good morning and good quarter. I guess my first question is trying to figure out how much incremental from the time you gave guidance to now, how much incremental FX headwind are you absorbing in your guidance for the full year?
Anthony Conte: Versus when we gave guidance you're asking, I didn't hear the first part, I’m sorry.
Ashwin Shirvaikar: Yeah versus when you spend.
Anthony Conte: It was about $2 million with additional headwind beyond what we gave guidance on Q1.
Ashwin Shirvaikar: No, I meant for the full year.
Anthony Conte: For the full year we haven't changed our expectations on headwinds for the full year. The difference between when we gave guidance and today wasn't material enough to shift so we're still looking at about 6% headwinds on the full year but clearly there is going to be more headwinds in Q1 and Q2 versus Q3 and Q4 because 2014 it was that latter half of the year when FX started to ramp so we expect to see more impact earlier in the year and less than the back half but our expectations are still by around that 6% headwind.
Ashwin Shirvaikar: Okay. And I guess the follow on is really I mean you guys are growing at pretty hectic pace and in what seems like all the right areas. The headcount growth if you could address what challenges you faced with regards to hiring, training and the capability to keep ramping that at a healthy pace.
Arkadiy Dobkin: Ashwin, this is like difficult question because that's the challenge you see in all the work and this is like as you know the shortage of talent and I answer this questions many times. So we really invest in multiple areas since that of the company to support all kind of software engineering skills because while we're seeing that the problem with vendor most of our competitors at the same time don't want to lose this advantage. And I certainly - we share this couple times like what investment we do - we have special division of the company which focusing only on this. We dramatically expanded our talent acquisition capability during the last couple of years. I also mentioned that we brought two years ago the person from large competitor who experienced already what that means real scale when you need to hire not just thousands people but tenths of thousands of people. So our talent acquisition led by such person and he put a lot of efforts to make it scalable. So universal relationships very, very strong. So we expand in different geographies of the world, we open couple additional offices in Central Eastern Europe as you know we now operate in [indiscernible] we also open operation in Guadalajara in Mexico at the end of last year. So and one of the key challenges is actually how to integrate the additional skills and advance consultant skills which now is a very big and digital skills, which is very big advantage which we have and if we can combine them right and this is different type of people, it's very difficult to bring them to work as a team, so this is a lot of efforts which we put in. So in general like it's probably separate discussion for multiple hours if you'd like to say it and also during the analyses they mentioned our internal systems which is part of this to how to bring people together and how to do assessments right and we're learning from the best of our clients and as you know we have some best names in technology as our clients so we're learning from this and I can continue for long time.
Ashwin Shirvaikar: No that's actually pretty good color I mean part of the reason to ask as you know is that as you grow in each time 20% growth means more people if compared to volume.
Arkadiy Dobkin: It's not, and you understand it's not just about more people it's about what type of people and how they're working together because we obviously change in the portfolio of our kind of engagements as well. So it's more solution based or sometimes end-to-end implementations and this is very different categories of people and how projects implemented so it's a lot of training not just from half qualified people but actually from the processes and this part.
Ashwin Shirvaikar: Okay. My last quick question was have you updated that the onsite headcount percentage metric, is there a new target you guys used to have it.
Arkadiy Dobkin: We don't have specific target like we had couple years ago to achieve 10%. What I can tell that it's definitely going to be increasing with the time and we probably need to assess a little bit, the situation before we can target on our self but the trend definitely to increase on short component.
Ashwin Shirvaikar: Great. Thank you and congratulations.
Operator: Thank you. Our next question is coming from the line of Jason Kupferberg with Jefferies. Please proceed with your question.
Jason Kupferberg: Thanks. Good morning guys. Congrats on the numbers. Just wanted to talk a little bit more about the full year outlook and make sure we understand kind of the moving parts as we go through the year and look at the year-over-year growth rates by quarter because obviously here in Q1 you came out ahead of guidance no matter how you slice it with currency, without currency etc. You're maintaining the full year as you said so that would obviously imply that you're expecting some deceleration in year-over-year growth during the remainder of the year. Is some of that just lapping of acquisitions maybe you can remind us how much inorganic revenue contribution there was in Q1 and how much was embedded in the full year guide of 21 to 23 in terms of acquisition contribution?
Anthony Conte: Well we don’t really separate out our forecast the organic versus inorganic when we do our planning we pretty much did the planning as one consolidated entity and most of these acquisitions have actually been fully integrated at this point so separating them is actually quite difficult. I can give you a view on actuals in Q1 and it's a rough separation but if you look at from a constant currency basis our growth organically was around 24% excluding the contribution from acquisition that we received in Q1 and that's I would say it's a very rough percentage because a lot of these accounts have been integrated. We've grown them post-acquisition both from the contribution the EPAM side as well as acquisition side so it's very hard to slice them at this point.
Arkadiy Dobkin: Basically to give you like explanation like when they say like this is a number organic we assume kind of deduct and completed the revenue from accounts existed. At companies which we brought here but it doesn't mean that it's really in some cases inorganic revenue because the revenue which increased there probably would deliver it by already EPAM people and capabilities which didn't exist in additional company. So it's a very really difficult to separate. In some situations we increase significant revenue on EPAM historical accounts because we bring in new capabilities from acquiring companies and sometimes it's opposite so it's really difficult to calculate.
Jason Kupferberg: Okay. So the implied deceleration, the rest of the year is that more just hey let's be conservative it's only through a quarter or is it more a function of the anniversarying of some of the acquisitions understanding that's it hard to pull out or quantify those...
Arkadiy Dobkin: Well you also have to factor in what’s happening on the CIS I mean we're seeing between currency and volume impacts at CIS we are seeing deceleration there and we're forecasting basically pretty significant drops in the CIS business. So that is decelerating due to the currency and due to the macroeconomic issues going on there. North America and Europe continue to grow in line with expectations. So I think what you're seeing is the blend of the drop we're seeing in CIS, the FX impact that we're anticipating pulling down the overall growth rates of the company, not really pulling them down but smoothing them out as we go through the year.
Jason Kupferberg: Okay. Understood. And maybe just a question more generally about the demand environment I mean I know you obviously don't give like a bookings metric per se but just qualitatively can you talk about what the environment look like through the first four months or so the year just in terms of your ability to compete for and win brand new business either at existing clients or adding new logos?
Arkadiy Dobkin: I think from where we are it seems like pretty healthy environment and as I mentioned before while we're growing like 25%, 30% during the last several years even after IPO we still relatively small glare of this global market and I don't think in this niche of services which we provided we can see any changes during this year’s so I think there is pretty strong demand and the whole point how to provide quality at this point.
Jason Kupferberg: Okay. And then just last one from me on the supply side, I know you talked about all the investments in hiring recruiting etc. Do you have any statistics off hand for example in terms of the percent of job offers that you guys make that are accepted just trying to get a sense of your success rate your hit rate as you obviously try and focus on not only recruiting the right number of people but the right type of people.
Arkadiy Dobkin: You know I, we probably have all the statistics but we never provided for this call and I don't have on top of my head but what I can tell you that clearly EPAM become much more attractive company for talented people because we're from main recognitions there is significant improvement versus several years ago. So I think it's getting better. I know this from multiple specific cases but I don't have statistics right now.
Jason Kupferberg: Okay. Understood. Thank you for the color.
Operator: Thank you. Our next question is coming from the line of Moshe Katri with Cowen and Company. Please proceed with your question.
Moshe Katri: Hey, thanks. Good morning. Good quarter. A couple of follow-ons, one did you provide a revenue breakdown by verticals for during the call, I missed that.
Anthony Conte: No I stop quoting them, they come out on our factsheet which you can get but I can read through them real quick if you'd like.
Moshe Katri: Sure. Let's start with financial services.
Anthony Conte: It was 28.3% [ph] of revenue.
Moshe Katri: And growth?
Anthony Conte: Growth was hang on, it's on a different sheet. Growth was year-on-year 19.4%.
Moshe Katri: Okay.
Anthony Conte: ISV was 22.2% of revenue and growth of 27.7%.
Moshe Katri: Yeah,
Anthony Conte: Information and media was 13.1% of revenue and 24.7% growth. Trial on consumer 21.8% of revenue and 20% growth. Life sciences which we started breaking out this quarter for the first time it's 7.2% of revenue and like almost 200% growth but it's mainly driven by the acquisition of GGI and NetSoft.
Moshe Katri: Okay, great. That's helpful.
Anthony Conte: And then the other is balanced.
Moshe Katri: And then UBS you said was up 54% for the quarter that accounted for 15% of revenues, I think it will be helpful if you kind of get us some color in terms of what's going on in this account, what you're doing more there what sort of traction you're getting and then should we expect that mix to continue to move higher greater than 15% in the upcoming quarters.
Anthony Conte: Well as you may remember I mean Jointech, the acquisition we did in APAC was mostly from all UBS revenues when we acquire them so the jump year on year is driven in big part by that plus if you look at the UBS growth last year 2014 it grew almost 100% year-over-year from 13 to 14. So it's really just the continuation of that growth in Q1 and the impact of that growth on the Q1 numbers.
Arkadiy Dobkin: But we weren't like - digital program at the beginning of last year and this program is still growing and it's difficult to predict to the speed of this account because we did potentially some specific projects and it's not like just incremental increase in headcount and some other areas. So we will see.
Moshe Katri: How large was Barclays during the quarter?
Anthony Conte: Barclays was about 5.7% of our revenue in the quarter.
Moshe Katri: Okay. And then Arkadiy you spoke about increased traction in APAC could you talk about that in terms of what we've seen so far year-to-date out of Asia and I'm assuming it's coming via the acquisition that you made last year.
Arkadiy Dobkin: As Anthony mentioned acquisition mostly, not mostly almost like 100% was focused on UBS account and for us it was a move necessary to get involved in the global digital program which was started from APAC. So we need the resources there and we need like very good strong engineering capabilities there. So what happen now that now having kind of hubs there we started to bring new clients in the region, most of these international companies plus we have multiple opportunities for existing client where we operate globally? So and we hope that we will kind of replicate the UBS situation where - North America or Western Europe we will serving needs of this clients in the region and we see there is tractions.
Moshe Katri: Okay did you staff the 700 or so seats that you have in China?
Arkadiy Dobkin: Excuse me, what?
Moshe Katri: With the acquisition I remember you had about 700 seats of delivery out of China, have you staffed these or you're considering staffing them?
Arkadiy Dobkin: You mean for all the space -
Moshe Katri: Yes.
Arkadiy Dobkin: No, it's not completely staffed now.
Moshe Katri: Okay. And then final question.
Arkadiy Dobkin: I think we still have in China specifically like around 300 people between China.
Moshe Katri: Okay. And the attrition for the quarter, that's last question.
Arkadiy Dobkin: Attrition for the quarter was right around 7%.
Moshe Katri: Remind us how does that compare for last quarter?
Arkadiy Dobkin: Its low we've typically been around 10%, 11% so this quarter came in quite low around 7.
Moshe Katri: Well impressive. Okay guys. Thank you.
Operator: Thank you. Our next question is coming from the line of Stephen Malonivich [ph] with UBS. Please process with your question.
Unidentified Analyst: Thank you. Good morning. This is Peter in for Steve. Thanks for taking my question. In regards to the headcount I mean this was the largest sequential gain you've had excluding acquisitions can you give us a sense of where the employee growth was and was it more juniors versus lateral hires and are you also seeing any wage pressure in constant terms.
Arkadiy Dobkin: You're talking about headcount increase right?
Unidentified Analyst: Correct.
Arkadiy Dobkin: Go ahead.
Anthony Conte: It was about 7% sequential growth. There is nothing special unique about that we've continue to hire in line with our needs and to staff the project that we have utilization remain relatively constant. It’s part of what has grown supported the over performance in the quarter is the additional headcount to service the revenues that we have - Ark if you have anything more.
Arkadiy Dobkin: If you look at our account of the floor it's a little bit bulky so and for example end of last year it was very high utilization over 80% I think.
Anthony Conte: Yeah in the quarter.
Arkadiy Dobkin: So in the quarters we were doing - now probably we will start to utilize and we have percent of - relatively high in Belarus and now Ukraine we're spending like two, three sometimes like six months on internal training as well. So that's kind of normal and then you will see that its utilization will be a little bit higher.
Unidentified Analyst: And were there any wage, changes in wage pressures?
Arkadiy Dobkin: That's a concrete question taken in account for this currency volatility so because like have to look at this but I'll give...
Anthony Conte: Yeah I mean overall blended wage increases that we saw last year were about 4% to 5% in a local currency base but FX helped us tremendously on this front and the overall wage inflation that we felt in US dollar terms was close to zero. So it almost the FX benefits almost completely negated the wage inflation that we felt which is what you see, you see that in our gross margin pick up. We picked up over a percentage in our gross margin. A lot of that is driven by the FX benefits that we received because of the neutralization of the wage inflation.
Unidentified Analyst: That's helpful. And then relative to last year do you think M&A will pick up in the next couple of quarters?
Arkadiy Dobkin: Peter we will see.
Unidentified Analyst: Okay. And then finally number of larger vendors including Century, Capgemini even Congress [ph] have had strong quarters particularly on quoting growth in digital particularly in North America. When you're competing for new deals are you seeing more competition coming to the table and have you seen any change in your win rates for new business?
Arkadiy Dobkin: So again just based on our [indiscernible] I think competition is increasing but in my opinions market and demand increasing if not with the fact probably faster than capabilities of delivery. So this is very interesting market and I think there are lot of spread there, lot of people trying to build up capabilities quickly and it's not so simple especially that it's not just kind of creative for digital parts which is lot of people put into together many small agencies and trying to compete but actually how to deliver this complete stuff and integrate in existing system. I think it's - on the surface competition is growing but quality delivery is still is very much in demand.
Unidentified Analyst: Great. Thanks for the commentary.
Operator: Thank you. Our next question is coming from the line Mayank Tandon with Needham & Company. Please proceed with your question.
Mayank Tandon: Thank you. Good morning. Ark you mentioned earlier about the challenges in terms of hiring people. I'm just wondering are you exploring other delivery locations whether it's Asia or Latin America or even India to diversify your delivery overtime and maybe that can help mitigate some of the challenges that you face in terms of hiring.
Arkadiy Dobkin: Number one, I don't remember when we didn't have challenges probably when we were very small and nobody wanted to work in Belarus and Ukraine then you can hire as many people as you want but then after this unfortunately changed. So but we open couple new locations in Central Europe now operating Bulgaria. We grow in Poland, we still grow in Hungary. We grow in our traditional locations in Belarus, Ukraine. And in Russia as well because now we have after acquisition of GGA we have interesting hub in Russia for western clients too. But we also as you know open in China and we had in China. While again our development center they have more like a front oasis for APAC region not just deliver location for global market. We also open as I mentioned in Guadalajara, Mexico just recently, it's very much just Greenfield operations. So couple people there but we have already some clients starting with us to operate there. So we have some other plans but it's too early to share. So I mean it's nothing unusual this quarter or last quarter it’s part of our day-to-day kind of year-by-year challenges.
Mayank Tandon: Great. Okay, that's very helpful. And then I know in the past you've also talked about most of your business historically was won through referrals but over the last 18 months or so you've been investing in the sales force and just wanted to get a sense of how that's progressing in terms of impacting new logo wins and also expanding your relationships with existing customers.
Arkadiy Dobkin: I would say that I don't see any bad from having referrals and I think that's probably the very good source of business which talking about reputation and quality of the delivery and I think it's still relatively big portion of our business and I hope that it's continue to be relatively big portion for our business which is not so uncommon actually for services operations when we need like to have hundreds clients not thousand clients and millions clients. So at the same time we definitely improve during the last several quarters, our marketing and sales operation so which is also bringing new opportunities like we talked about our brand recognition from industry analyst and becoming some strong performers or leaders in multiple categories which is helping us to get new opportunities and equip our sales teams. We also have new head of North American sales, we've brought regarding sales people. We change in sales people as usual. So this is normal for us. Just to give you kind of very simple metric which probably illustrate what's going to like we just calculated just during the last six months we have at least 20 account which already on 1 million plus run rate and some of them 3 million or 5 million and probably 5, 6 is the accounts could be 10 million accounts for example. And this kind of brand new logos which we brought during the Q1 and Q4.
Mayank Tandon: Great, that’s great color. And then just two final questions from me, for Anthony. Anthony, I don't know if you mentioned this earlier but what was the pricing uptick in the quarter and what are you building in for fiscal '15 guidance and then finally also utilization over the number in the quarter and then what does it trend for the rest of the year?
Anthony Conte: Sure. Pricing which sticking with kind of 6% to 8% range and that's what we're seeing. A lot of that is unfortunately being neutralized by FX as well same with our wage inflation but that's the base that we're building in. Utilization for the quarter came in at 77.6 and our forecast is pretty much holding that steady throughout the year so it will be kind of 76%, 77% throughout the year. We'll see a little bit of, we forecasted normal dip in Q3 which is a typical vacation cycle and that picks up in Q4. So I'm taking on average for the whole year.
Mayank Tandon: Okay. Thank you. Good job on the quarter.
Anthony Conte: Thank you.
Operator: Thank you. The next question is coming from the line of David Grossman with Stifel. Please proceed with your question.
David Grossman: Thank you. I just had two very quick follow-ups. First I think you had mentioned that first quarter is typically a flattish sequential quarter which was obviously different than the way you guided at three months ago. Just curious whether the guide three months ago, did that reflect exogenous factors like currency unrest on the Ukraine or whatever it may have been or did in fact going into the quarter did you generally believe that there were fundamental reasons to think that you would be down sequentially more than you have been historically.
Anthony Conte: I think that when we did the forecasting we always anticipate a much slower Q1 ramp. We did see some things happening a little bit earlier this year similar to last year which benefited the quarter. I mean the over perform was only a $2 million so it wasn't a significant strike and everything else is pretty much in line with where we're expected there is nothing unusual on the quarter we just had$2million of over perform from some of our customers ramping things little bit faster.
David Grossman: Okay. And then just secondly getting back to your largest customer which is outpacing the growth of the rest of the business and now it's 15% of revenue can you just help us understand how you're thinking about the growth in that talent permanent or is it relates to the risk overall risk of the business in the future in terms of how it could impact growth if in fact that account does decelerate overtime.
Arkadiy Dobkin: I think so the growth partially due acquisition as we mentioned right. So we also growing in this account in very different areas and we open couple new kind of areas, specific loans is large digital program. So I don't see this as a danger at 15 or even let's say 20% which I don't think we're going to get, okay. So, taken in account like sales of top five or top 10 or top 20 accounts which we have. I think we're still pretty well balanced.
David Grossman: Can you help us understand how many components Ark that exist within that account whether it'd be geographically or within divisions...
Arkadiy Dobkin: This is very diverse account. We're working now in three continents. We're working in Europe. We're working in North America. We're working in APAC and in Asia, this is a significant business then we're working across different business lines, then we're working from delivery point of view again this is like Hungary, Poland, Ukraine, Switzerland, UK, China, Hong Kong, and Singapore. So this is like very kind of spread activities across on this.
David Grossman: Okay. And then just third, Anthony I'm wondering can you give us what we should model for the non-GAAP adjustments for the year first Barclays comp and the intangibles amortization etc.
Anthony Conte: Sure. I can do that. So stock comp is going to come in Q2 right around 11.8 million and then it will kind of drop to 11.3 and 11.4 in Q3 and Q4 so you'll end up the year around 43.7 and as far as amortization of intangibles. It's going to be about 1.4 million per quarter going forward.
David Grossman: Great. Alright guys. Thank you.
Operator: Thank you. Our next question is coming from the line of Darrin Peller with Barclays. Please proceed with your question.
Darrin Peller: Thanks guys. Listen I just want to follow up first on the strong growth at UBS I mean obviously it's continuing to pace well even organically and I guess one question is just if the client itself as UBS itself has any parameters as to whether or not how much it's willing to work with any given vendor, I know it also works with one of your large competitors. So where can that go without them getting worry about risk management in there. And then I guess just a follow-up on that is the growth rate of your top 10 I think we're calculating around a mid-teen maybe 16%, 17% growth rate of the top 10 clients excluding UBS although I think currency is probably playing a big part in that given imagine at least one of them is out of the Russia region. So can you just give us some color on the organic constant currency growth of the other nine of your top 10?
Anthony Conte: You want to take the UBS question first.
Arkadiy Dobkin: I think in the UBS question I don't know what to add already to really kind of talk about it. When David asked the question and previously as well. So I think Anthony you're trying to...
Darrin Peller: What I'm trying to figure out if there is going to continue to be comfortable working with any one give vendor when...
Arkadiy Dobkin: Okay. I believe the clients have some internal policy. How much business they can give.
Darrin Peller: Exactly.
Arkadiy Dobkin: So we far from this - so we have space to grow and I don't think it's - we're going to reach with our client kind of spread I don't think we're going to reach this agreement.
Darrin Peller: Alright. That's helpful. And then just on the other side of it, just trying to figure out the organic sort of constant currency growth Anthony of the other top 10 clients. Like nine out of the top 10 because I know UBS is a big driver still.
Anthony Conte: Yeah UBS is definitely a large driver and looking at the other top accounts it's about - most of them are primarily USD based with a little bit of a mix of Canadian in there. So I think from a constant currency perspective let's say Barclays will have a mix, yeah it's not going to be dramatically different, I don't have that number at my fingertips Darrin.
Darrin Peller: Okay. We could follow-up with that.
Anthony Conte: I'd say there is going to be some Euro and some Canadian impacts.
Arkadiy Dobkin: On top 10 like the biggest impact coming from one Canadian client which weakened Canadian dollars dropped almost 25%.
Darrin Peller: Right.
Anthony Conte: And Barclays which is going to be a mixed account. They have a heavy US dollar.
Darrin Peller: Okay. I just had one follow-up I mean you guys had some, it was some pretty good media around I think the contract with the SEC and it just seems like another sort of area of growth potential for you guys. Can you just comment on that for a moment and how that's been where the opportunity is there?
Arkadiy Dobkin: On this project we reached Securities Exchange Commission as I mentioned multiple times during the course we were proud of being selected in the short leads but we're not really thinking that we can win this deal realistically taken the size of the deal and kind of some government requirements, We might have opportunity like one of our goals were to get there to make sure that we will be able to work in this area where implementation of this regulations would be first and it would be lot of work and we already kind of attached our name on this specific subject matter.
Darrin Peller: Okay. It must be earlier in the call.
Arkadiy Dobkin: So but we like we for example in financial services we started to work with two large banks and both of them will be growing now pretty significantly so this is like not like we started to work with couple large retailers on - opportunities. So it's as I mentioned like just in last six months we have 20 new names with 1 million plus run rate already.
Darrin Peller: And a number of those, I think you also mentioned a number of those were new logos right?
Arkadiy Dobkin: That's what I was mentioning.
Darrin Peller: Yeah that's great.
Arkadiy Dobkin: Specifically new logos.
Darrin Peller: That's great. Alright great. Thanks guys.
Operator: Thank you. Our next question is coming from the line of James Friedman with Susquehanna. Please proceed with your question.
James Friedman: Hi, most of my questions have been answered but Ark you were mentioning in your opening remarks that budgets would sometimes can be tentative in the first quarter, our preceding, I think you said more predictively. I was just wondering if you could articulate in which areas budgets may have a better cadence like specifically either by industry or by service line.
Arkadiy Dobkin: I don't think I can give any specific details of this. So because it's probably to - most of the accounts and industries as well. I don't have any specific kind of split.
James Friedman: In terms of your say digital practice. Is that the same buyer as what you have sold in the past in other words are you selling more into the Chief Marketing Officers as opposed to Chief Technology Officer or the financial office?
Arkadiy Dobkin: This is again everybody talking about it so I don't think I'll give you any different number. It's definitely there is shift from traditional IT to more business, we're working with business leaders in specific areas and we're working with horizontal kind of digital leaders at our client side. This is definitely increasing very rapidly and we sell into this business and digital people on client side probably still not more than IT people but definitely increasing proportion.
James Friedman: Okay. I think at your Analyst Day, you had a number of examples of that as my last question of that is I think you had said at the Analyst Day that we had a couple of significant reference able accounts this was on March 6th. Yeah so if you could talk to the growth of some of those accounts that presented at the Analyst Day and if there have been any further update, Canadians Tire, Google in particular.
Arkadiy Dobkin: All this accounts like Canadian Tire CTO was present there I think he said I don't think I can do any better than he did and this is still growing account for us clearly it's a little bit more difficult taken in account that Canadian dollars dropped so significantly. So but we have number of growing accounts. I'm not going to mention specific but we have all our top 10 growing and we have number below growing fast and digital growing faster.
James Friedman: Okay. Thank you.
Operator: Thank you. Our next question is coming from the line of Arvind [ph] with Arden Research. Please proceed with your question.
Unidentified Analyst: Hi, thanks for taking my question. I know you already touched upon this but just wanted to see if I could dig a little bit deeper. So by math or the math has done the four acquisitions in 2014 contributed about $40 million to EPAM revenues on a partial year basis. So in on a full year revenue basis aggregate revenue from this four acquisitions may have been like 60 million to 70 million. And sort of assuming that they'll continue to grow in 2015 they may contribute I don't know $70 million, $80 million. So based on this it looks like your guidance maybe conservative given some of the acquisition related revenue that will kick in. So is it mostly like FX and CIS business at play for kind of guiding to kind of 21%, 23% guidance.
Anthony Conte: Well I mean 23% considers about a 6% headwind from currency. So in constant currency terms we're projecting kind of 29% growth which I don't think is conservative at all. I think that you have to also factor in what I had said earlier about the CIS region where that is dropping we're anticipating that dropping roughly 40% year-on-year through both currency impacts and just sheer volume impacts because of the economic situation in the CIS region. So I would counter and so I don't think that 21 to 23 is conservative taking into account the 6% currency headwinds that we are factoring into that number and the issues that we're facing within the CIS region.
Unidentified Analyst: Great. That's helpful and just one question instead of the competitive environment I mean how much of your business is kind of your going head-to-head with the US firm versus Indian firms versus sort of the in house kind of IT spend essentially kind of greenfield opportunities. And have you all been in a situation where you all are kind of competing with these firms one on one and the dynamic change over the last couple of years if you can maybe provide some examples that'll be great.
Arkadiy Dobkin: Definitely we see in all around all this line of competitors, we compete with smaller US based or European based consultancy type of firms focusing specifically on e-commerce or digital or content, complete content management engagements. So we compete with these guys. We compete with Accenture, and IBM on specific engagements and with special dividends and we definitely compete with many companies with [indiscernible] so this is like all over the place and we it's a luxury to compete one you really compete against four or five of them simultaneously. So and I don't know like what exactly to answer here, yes we like - opinion with in many cases we take in share from existing business from this completion in some case we get into very kind of greenfield initial deals and results. So but right now the competition all over the place.
Unidentified Analyst: Great. Thank you very much and best of luck for 2015.
Arkadiy Dobkin: Thank you.
Operator: Thank you. Our next question is coming from the line of Alex Veytsman with Monness, Crespi, Please proceed with your question.
Alexander Veytsman: Yeah just wanted to dig further on some of the verticals specifically on the IC technology it looks like that the growth rate has accelerated this quarter about 28% about 14 just wanted to ask you for some, what were some of the drivers behind that growth and also how should we be thinking about it throughout the year for the next three quarters.
Arkadiy Dobkin: So specifically would kind of IC growth.
Alexander Veytsman: Right I mean the drivers going to would lead to the top line growth acceleration in that vertical and does that kind of a growth rate sustainable for the next three quarters?
Arkadiy Dobkin: So I think again this is not growing faster than we grow in general so I don't see any unusual stuff here. And this is very kind of traditional historically very strong - at EPAM and even like three years ago when right after IPO when we described our strategy we mentioned that we would like to keep our IC businesses around 20%-25% if possible because we would like to be in the world in all new technology trends and kind of feel - what's happening in this because that given advantage to usher new ideas and strong hands on experience with this new technologies to our corporate clients. So we have special group focusing on this and this is practically business as usual for us. So I don't see any special here but we still would like give significant portion of our business in independence of vendors in technology segment.
Alexander Veytsman: Got it. And then for the life sciences I mean this is I mean like obviously new segment here, how should we be thinking about the growth rates for the remainder of the year, I mean obviously it's ramping up so the growth I mean we would expect the growth will be faster than other verticals.
Arkadiy Dobkin: You know that we not kind of given guidance on specific segments. So at the same time clearly we considering this as an interesting perspective for us. We still want in so we had it's not like all new-new business for us because we plan in this field a little bit it was kind of part of our other revenue now we consolidating this in life science and healthcare. So we clearly hoping that this would grow faster than the rest of the business at least initially. So and we see very interesting opportunities in the field taken in account that we brought probably with this acquisitions at least half of that Fortune 500 companies on our client list and that could be double and triple or more during the next couple years. So but I don't think we can give you any specific predictions right now.
Alexander Veytsman: Thank you.
Operator: Thank you. And it appears we have no additional questions at this time. I would like to floor back over to Mr. Dobkin for any additional concluding comments.
Arkadiy Dobkin: Okay. As usual thank you very much for listening to us and asking questions and hope we will have good conversation in three months from now again. Thank you.